Operator: Welcome to the Q4 Bank of Hawaii Corporation Earnings Conference Call. My name is Leslie [ph] and I'll be your operator for today. [Operator Instructions] Please note that this conference is being recorded. I'll now turn the call over to Ms. Cindy Wyrick. Miss Wyrick, you may begin.
Cindy Wyrick: Thank you, Leslie [ph]. Good afternoon everyone and thank you for joining us today as we review our financial results for the fourth quarter of 2014. Joining me today is Chairman, President and CEO Peter Ho, Vice Chairman and Chief Financial Officer Kent Lucien, and Vice Chair and Chief Risk Officer Mary Sellers. The comments today will refer to the financial information included in our earnings announcement. Before we get started, let me remind you that today's conference call will contain some forward-looking statements. And while we believe our assumptions are reasonable, there are a variety of reasons that the actual results may differ materially from those projected. And now let's turn the call over to Peter Ho.
Peter Ho: Thanks, Cindy. Good afternoon everyone and thanks for joining us today. We're pleased with our financial results for the fourth quarter of 2014. Overall loan demand was solid again this quarter. Loan balances grew 4.4% from last quarter and were up 13.2% from last year. We also continue to grow our deposit base which increased 2.2% from the previous quarter and was up 6% from last year. Due to our growing balance sheet, net interest income increased in the fourth quarter and our margin was relatively stable, down 1 basis point from last quarter. Asset quality and capital levels and expense controls continue to be strong. Now let me turn the call over to Kent who'll give us some further detail.
Kent Lucien: Thank you, Peter. Net income for the fourth quarter was $41.2 million or $0.94 per share, compared to $41.8 million or $0.95 per share in the third quarter and $39.1 million or $0.88 per share in the fourth quarter of 2013. Our return on assets in the fourth quarter was 1.12% and return on equity was 15.4%. Our efficiency ratio was 57%, compared to 57.7% in the third quarter. Full year 2014 net income was $163 million or $3.69 per share, compared to $150.5 million or $3.38 per share in 2013. Year-to-date return on assets was 1.14% and return on equity was 15.5%. Our year-to-date efficiency ratio was 58.4%, down from 60.7% in 2013. Our net interest margin in the fourth quarter was 2.84%, compared to 2.85% both in the third quarter of 2014 and in the fourth quarter of 2013. Year-to-date net interest margin was 2.85%, compared to 2.81% in 2013. The investment portfolio reinvestment differential was a minus 12 basis points this quarter, and the premium amortization was $13.7 million, versus $13.5 million in Q3. There was no credit provision in the fourth quarter of 2014. Net charge-offs in the quarter were at $1.7 million. Our allowance for loan and lease losses at the end of the fourth quarter was $108.7 million or 1.6% of outstanding loan and leases. Non-interest income for the fourth quarter was $45.8 million, compared to $45 million in the third quarter, and $45.3 million in the fourth quarter of 2013. The increased compared to the prior quarter was primarily due to increases in mortgage income and trust and asset management income. Mortgage income was $2.1 million, compared to $1.6 million in the third quarter, and $2.8 million in the fourth quarter of 2013. We sold 22,000 Visa Class B shares in the fourth quarter for a gain of $2 million, which is comparable to the gain in the third quarter. We also contributed 4,700 Visa Class B shares to the Bank of Hawaii Foundation. Year-to-date non-interest income was $180 million, compared to $186.2 million in 2013. Non-interest expense totaled $81.2 million in the fourth quarter, compared to $81 million in the third quarter and $82.4 million in the fourth quarter of 2013. Year-to-date non-interest expense was $326.9 million, compared to $331 million in 2013. For the full year we saw broad-based declines in expenses, including lower salaries and benefits, occupancy, insurance and operating losses. The effective income tax rate was 32.7% in the fourth quarter, compared to 32.6% in the third quarter and 29% in the fourth quarter of 2013. The lower rate in the fourth quarter of 2013 was primarily due to the utilization of capital losses on the sale of a low-income housing investment. Our investment portfolio was $6.8 billion at the end of the year, flat with Q3 and down $300 million from last year. The average duration of the AFS portfolio is 2.86 years and overall portfolio duration is 3.37 years. Loans were $6.9 billion at the end of the fourth quarter, up $291 million or 4.4% compared to the end of the third quarter, and up $802 million or 13.2% from the end of the fourth quarter of 2013. Average deposits were $12.4 billion in the fourth quarter, up $235 million compared to the third quarter and up $864 million from the fourth quarter of 2013. Our shareholders' equity was $1.1 billion at the end of the fourth quarter. We paid out $20 million in dividends and continued our share repurchase program in the fourth quarter, repurchasing 281,000 shares of common stock for $16 million. Our Board declared a dividend of $0.45 per share for the fourth quarter. At the end of the fourth quarter, our Tier 1 capital ratio was 14.7% and our Tier 1 leverage ratio was 7.1%. And now I'll turn the call over to Mary.
Mary Sellers: Thank you, Kent. Net charge-offs for the fourth quarter totaled $1.7 million, up $900,000 on a linked-quarter basis and down $6.6 million year over year. Full year net charge-offs were $1.9 million, down from $13.4 million in 2013. The year-over-year improvement was driven off a $9.7 million decrease in gross charge-offs and a $1.8 million increase in recoveries. Non-performing assets were $30.1 million at the end of the fourth quarter, down $3.2 million from the third quarter and down $9.6 million from the fourth quarter of 2013. The year-over-year improvement was due to a $4.7 million reduction in commercial non-performing assets and a $4.9 million reduction in consumer non-performing assets. At the end of the fourth quarter, loans past due 90 days or more and still accruing interests were $8.7 million, down $442,000 and $1.2 million for the linked-quarter and year-over-year, respectively. Restructured loans not included in non-accrual loans or loans past due 90-plus days were $45.5 million at the end of the fourth quarter, up $305,000 from the third quarter and down $5.6 million from the fourth quarter of 2013. Residential mortgage loans modified to assist our customers accounted for $23 million of the total at the end of 2014. We continue to see improvement in what we consider to be the higher-risk segments in our portfolio. In total these segments were $4.3 million in the fourth quarter and down $14.2 million from the fourth quarter of 2013. Consistent with the continued strength of the Hawaii economy and our asset quality metrics, we did not record a provision to the allowance for loan and leases losses at the end of the fourth quarter. Accordingly, the allowance of $108.7 million represents a 1.58% of yearend outstanding loan and leases. I'll now turn the call back to Peter.
Peter Ho: Thank you, Mary. The Hawaii economy continues to perform well due to a stable tourism industry, low unemployment, rising real estate prices, and accelerating construction activity. On the visitor front, 2014 is on track to be another record year for tourism in Hawaii. The first 11 months of 2014 total visitor arrivals increased by 0.9% and visitor spending increased 2.3% compared to the same period of 2013. Tourism in Hawaii will also benefit this year from the recent announcement that All Nippon Airways will be doubling service to Honolulu from Tokyo beginning in July. The real estate front also looks strong, although low inventory levels are limiting overall sales. Inventories on Oahu are currently at 2.6 months for single-family homes and 3 months for condominiums. The median sales prices for the single-family home on Oahu was $675,000 in 2014, an increase of 3.8% compared to 2013. The median sales price for condominiums was $350,000 on Oahu in 2014, up 5.4% compared with 2013. The median days on market was 23 days for single-family homes and 22 days for condominiums in December. This concludes our formal remarks. Thanks again for joining us today. Another good quarter. And we look forward to your questions.
Operator: Thank you. [Operator Instructions] And our first question is from Aaron Deer with Sandler O'Neill.
Aaron Deer - Sandler O'Neill: Hey. Good afternoon everyone.
Peter Ho: Hey, Aaron.
Aaron Deer - Sandler O'Neill: Peter, the loan growth from the quarter was terrific, and it came in a number of categories. I guess I'm just curious, with the commercial and C&I balances coming on as strong as they did and the very strong residential mortgage growth that you had, would you now reconsider selling some of the residential production going forward?
Peter Ho: Yeah, it's a good question. And obviously you saw in the quarter we didn't do that. But it's something that we measure, gee, almost monthly I'm going to say. And it's really a function of what we're seeing in the for-sale market from gain on sales standpoint. So for now, we think retaining the mortgages on balance sheet remains the best path for us. We've talked in the past about having that 40-40-20 split. And even with the strong performance in the quarter, there's still a bit of a surplus from that 40% category for resi mortgage. So we'll continue to do the analysis moving forward, but at least for this past quarter, it made sense for us to hang on to those balances.
Aaron Deer - Sandler O'Neill: Okay. And then I guess, as a follow-on to that that might be more perfect for Kent, the -- with all the mortgages I guess coming on the balance sheet and thinking about the types of purchases that you've been doing in the securities portfolio, I'm curious to know how you guys are thinking about the rate sensitivity of the balance sheet that to the extent that you've done your updated analysis on that, kind of where that stands at this point?
Kent Lucien: Yeah. I mean we're continuing to think about a lower duration, to maintain a risk profile that takes into account the environment that we have and the prospect for changes in the environment. So, yeah, the answer is we balance the two. A little bit longer duration on the loan side implies a little bit shorter duration on the investment side.
Aaron Deer - Sandler O'Neill: So if we do start to get some higher short-term rates late this year, how do you anticipate that affects your, you know, kind of where the margin goes and what are your thoughts on where the 10-year might go at this point.
Kent Lucien: Well, I'll answer the second part first. You know, we've been pretty consistent about not trying to out-guess the marketplace in terms of a forecast, and so we, you know, for planning purposes, for ALCO [ph] purposes, we really use the market consensus on interest rates. And so we just really don't have any greater insight than that. In terms of if the yield curve were to flatten, that by itself and no other change, it would be negative to us. It's all a matter of magnitude and timing, but it would be hard to say it would be positive for us, let's put it that way. Personally we have a fairly sizable component of both variable and floating rate loans in the loan portfolio that is somewhat helpful. And that combined with a relatively low beta, we believe, in terms of deposit pricing, hopefully some modest impact. But that's kind of how we see it.
Aaron Deer - Sandler O'Neill: Okay. Great. Thanks for taking my questions.
Peter Ho: Thanks, Aaron.
Operator: Great. Next question is from Jackie Chimera with Keefe, Bruyette & Woods. Jackie, your line is now open.
Jackie Chimera - Keefe, Bruyette & Woods: Sorry, I did not hit unmute. Can you hear me now?
Peter Ho: Hi, Jackie.
Kent Lucien: Hi, Jackie.
Jackie Chimera - Keefe, Bruyette & Woods: Hi guys. Sorry. I was talking to myself over here. Can you give a little bit of color on the professional and casually reserved adjustment and what bucket that fit in?
Kent Lucien: Yeah. It's in the insurance bucket. And basically, you know, we've had a pretty clean period here in terms of claims, new claims, both workers compensation claims and professional liability claims. And so based upon, you know, we do this actuarial study every year based upon how the claims are coming in and how they're developing. And accordingly, we reduce the reserve.
Jackie Chimera - Keefe, Bruyette & Woods: Okay. So, did that flow through fees then or expenses?
Kent Lucien: It would be in expenses.
Jackie Chimera - Keefe, Bruyette & Woods: Okay.
Kent Lucien: So it'd be in other expenses.
Jackie Chimera - Keefe, Bruyette & Woods: Okay. That's what I thought; I just wanted to double-check on that. And was there anything unusual or maybe non-recurring in professional fees this quarter?
Kent Lucien: It was a little bit higher. So we have been expending a little bit more resources with outside services, in particular with various compliance obligations, and so we saw some of that in the fourth quarter.
Jackie Chimera - Keefe, Bruyette & Woods: So is that less likely to repeat then going forward since it was outside work?
Kent Lucien: I think we're going to have some higher compliance costs, I just kind of the nature of the industry and the nature of the business. So it's -- I can't say it's unique to the quarter. We could see some higher expenses in that category.
Jackie Chimera - Keefe, Bruyette & Woods: Okay. And looking at expenses overall, I know in the past you've tried to do a reduction on a year-over-year basis of 1%, and then past comments, maybe it seemed like that wasn't quite as high of a priority just given the significant growth you've been having. Peter, maybe you could give us an update on your thoughts on just expenses as we look into the new year?
Peter Ho: Right. Well, we've been, if you go back over the past five years, we've been able to sequentially drop expenses in each of the past five years. And obviously that was done against different growth set than what we've faced today. Certainly for 2014 and probably into latter part of 2013, we've begun to see a pretty consistent growth pattern, Jackie. So I'm not sure the lower expenses are in the cards for us. When we look at expenses moving forward, a lot of that's coming from incentives and commissions and just wanting to maintain the appropriate staffing level to support our customer needs and support our business development needs. So we couldn't see a tick-up, just an overall volume-based types of activities. The other thing that I'd say is we've got a good amount of building happening in the company right now, so, a lot of projects. Kent's alluded to the compliance piece, which is, you know, with us. But we also have a good number of projects in place that require some outside assistance of consulting work but that have some real opportunity to help us from a revenue standpoint moving forward. So I guess I'd say that's the backdrop. Is it possible to see slightly elevated expenses this year? Yes. I don't know that that's an indication of the company taking a different expense posture than we've had previously, versus just a lot of different, frankly, good things happening in our marketplace than in our situation right now.
Jackie Chimera - Keefe, Bruyette & Woods: Okay. So is it fair to characterize it as more of a function of the growth that you're driving and just the economy completely in full swing now?
Peter Ho: Yes. Right.
Jackie Chimera - Keefe, Bruyette & Woods: Okay, great. I'll step back now. Thank you.
Peter Ho: Thank you.
Operator: Our next question is from Jeff Rulis with D. A. Davidson. Please go ahead.
Jeff Rulis - D. A. Davidson: Thanks. Good afternoon.
Peter Ho: Hey, Jeff.
Jeff Rulis - D. A. Davidson: Maybe a question for Peter on, you know, pretty good loan growth, very strong in 2014, and I guess as it shapes your view of 2015, anything in that -- in the economy that you sense is overheating or you'd be a little more guarded this coming year versus what you'd seen in the past year?
Peter Ho: Not really. Commercial, despite the fact that it's been strong for a few years now, I think has some opportunity again this year. You know, you heard the commentary around residential mortgage, so that's going to be in some ways an ALCO [ph] decision. So either we'll take that in volume or we'll take that in fee income. But the outlook, at least for now, on the residential mortgage front, looks strong as well. And then, you know, the one category that frankly I had been most heartened by is in the other consumer bucket. And as you know, that's been kind of a flattish portfolio for us for a while now and we're beginning to see good pickup in that segment as well, which I hope speaks to a slightly more enabled consumer base out here in Hawaii. So I'm going to say that there's additional opportunity in this year. Having said that, I will tell you that I think 13% year on year is an awfully heady number, and I'm not sure that I would plug that into any forecast moving forward. But I think there's still opportunity for growth.
Jeff Rulis - D. A. Davidson: Okay. And maybe another economic question, either anecdotal or specific, on just the local take on kind of lower energy prices and the anticipated impact on the islands.
Peter Ho: Yes, that's an interesting situation, assuming we continue to have the kind of pricing in oil and petroleum that we've seen over the past several months. And the thing to remember about Hawaii is we're -- in fact, I think we are the most petroleum-dependent state in the country, because that is the basis of almost all of our utility generation, despite the fact that we're a small place, people's automobile on gasoline budgets were pretty sizable relative to their overall incomes. And then obviously with air travel being such a big component of our economy, that plays into it as well. So I've seen, assuming oil prices maintain their current levels and assuming at some point that begins to trickle into gas prices and energy prices and the like, some of the analysis I've seen have impacts as high as 1-1/2% to our overall economy, because the consumption of energy in our state is roughly equivalent to about 10% of our overall GDP.
Jeff Rulis - D. A. Davidson: So as a headwind.
Peter Ho: No, no, as a potential tailwind.
Jeff Rulis - D. A. Davidson: Okay, got you. I just wanted to --
Peter Ho: Because lower prices being a stimulus into the economy.
Jeff Rulis - D. A. Davidson: Great.
Peter Ho: Yes.
Jeff Rulis - D. A. Davidson: Okay. I'll step back. Thank you.
Peter Ho: Yes.
Operator: [Operator Instructions] And our next question is from Brett Rabatin with Sterne Agee.
Brett Rabatin - Sterne Agee: Hi, good afternoon.
Peter Ho: Hi, Brett.
Brett Rabatin - Sterne Agee: I wanted to I guess go back to fee income and just ask if, you know, again I'm thinking about 2015, if there are any new initiatives that we might see this year and if any changes in local competition might give you opportunities in a few specific areas?
Peter Ho: On the fee income line, I think, thankfully, we've burned through the mortgage side. So I wouldn't anticipate any meaningful delta to the downside there for 2015. I will say that we haven't changed up too much of the way of specific products, but I will say that we, you know, we're pretty focused in -- on our wealth management space right now. We are a year-and-a-half into restarting our credit card operation, and we feel very strongly that that's going to give us some additional revenue in 2015. So I'd say for the past year or so, that's been a, you know, a REIT [ph] de novo type product that should start to generate some meaningful revenue for us. So those are probably the two areas that I would look to for this year.
Brett Rabatin - Sterne Agee: Okay. And then just want to go to, you know, obviously continued strong loan growth, and that really helped the margin in 2014. I'm just curious, as you look at what you're doing in the commercial real estate category. Can you maybe just give us a little bit of a flavor for what you're seeing in terms of your originations in that segment? Is it a lot of mini-perm type stuff or is it opportunities to refinance, say, stuff away from other lenders, or maybe give us a little more flavor around your growth in the commercial real estate portfolio.
Peter Ho: Yes. In CRE, it's really a combination of all of those. So I'm not sure that any one category is out-competing any other. There is some refi business. There's still a pretty good amount of sales activity happening. There is a good amount of repositioning and retrofitting and reconditioning of properties going on right now given where values are. And then a fair amount of land tenure opportunities as well, so, people buying our lease fee interests and things like that. So I guess what I'd characterize the activity at, Brett, is really a pretty balanced portfolio stuff going on, not really dominated by any one particular category.
Brett Rabatin - Sterne Agee: Okay. Great. My other questions have been asked. Thank you.
Peter Ho: Thanks.
Operator: All right. Next question is from Joe Morford with RBC Capital Markets.
Joe Morford - RBC Capital Markets: Thanks. Good afternoon everyone.
Peter Ho: Hey, Joe.
Joe Morford - RBC Capital Markets: Most of my stuff has been asked too. But I guess just one on the deposit growth. That was again pretty encouraging. I was just curious, anything unusual driving that? And also just looking at the mix, this quarter was mostly in the interest-bearing demand, while maybe the non-interest-bearing has lagged a little bit the last couple of quarters, and I was just curious if any -- perhaps any reasons behind that.
Peter Ho: No, I don't think so, Joe, other than just some clients are categoried into one bucket or the other. The reality is that the amount that we paid -- we pay on the interest-bearing demand is pretty nominal. So I'm not sure that there's any yield stuff going on there. But yeah, the growth was good again. I mean if you look at the -- and we're quoting end-of-period numbers, but if you look at the average numbers, we're up 7-1/2% in total deposits year on year. And I guess what strikes me as most attractive to that number is it's coming from a pretty broad set of businesses, both consumer as well as commercial for us.
Joe Morford - RBC Capital Markets: Okay. That's encouraging. Thanks a lot.
Peter Ho: Yes, take care.
Operator: Okay. At this time I show no further question. I will turn it back to speakers for final remarks.
Cindy Wyrick: Thank you, Leslie [ph]. And I'd like to thank everyone for joining us today and for your continued interest in Bank of Hawaii. As always, if you have additional questions or need further clarification on any of the topics we've discussed today, please feel free to contact me. Have a nice evening. Thanks everyone.